Operator: Good morning and welcome to the Sify Technologies Limited conference call following the earnings announcement for the year-ended March 31, 2013. I would now like to introduce your host for the conference, Christopher Chu, Investor Relations for Sify Technologies Limited. Thank you, sir. You may begin.
Christopher Chu: Thank you, operator. I would like to extend a warm welcome to all of our participants on behalf of Sify Technologies Limited. I am joined on the call today by Raju Vegesna, Chairman and Managing Director; Kamal Nath, CEO and MP Vijay Kumar, Chief Financial Officer of Sify Technologies. Following our comments on the results, there will be an opportunity for questions. If you don’t have a copy of the press release, please call Grayling at 646-284-9400 and we'll have one sent to you. Alternatively, you may attain a copy of the press release at the Investor Information section at the company's corporate website at www.sifycorp.com. A replay of today's call may be accessed by dialing-in on the numbers provided in the press release or by accessing the webcast in the Investor Information section of the Sify corporate website. Some of the financial measures referred to during this call and in the earnings release may include non-GAAP measures. Sify’s results for the year are according to International Financial Reporting Standard or IFRS, and this will differ somewhat from the GAAP announcements made in previous years. A presentation of the most directly comparable financial measures calculated and presented in accordance with GAAP and a reconciliation of such non-GAAP measures and of the difference between such non-GAAP measures and the most comparable financial measures calculated and presented in accordance with GAAP will be made available on Sify’s website. Before we continue, I would like to point out that certain statements contained in the earnings release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described with respect to such forward-looking statements, the company seeking protection afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time-to-time in the company’s SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements. It is not intended to represent a complete list of all risks and uncertainties inherent to the company’s business. I would now like to introduce Mr. Raju Vegesna, Chairman of Sify.
Raju Vegesna: Hi. Thank you, Chris. Good morning everyone. Thank you for joining us on this call. And as irrespective of the flow of the economy of India, so we are exceptionally proud of our continuous growth and improvement in profitability in a challenging market environment. At the beginning of the year, we laid out a roadmap for Sify with a thrust on Management Services, while the year that took [transit share] with Sify Services being profit along the vertical lines. A year later, that game plan is beginning to see some fruitful results. We are increasingly beginning to call to render M2M solutions rather than just corporate services. Our accumulated knowledge and specialized solutions are being recognized as a clear advantage with the results in our engagement earlier in the project cycle; translated, that means Sify has moved up value chain from being just a service provider to being a partner that our customers can rely on and solve their IT problems. Our network services continue to grow based on the solid investments we made over the last few years. Last year we won several large contracts based on the resilience and robustness of our network in [consultation] with our established telecom players. The list includes both the large enterprise and Government PSUs. Our network now reaches more than 1100 cities and towns in India. We also rolled out a full [vantage] of collaborated tools including audio conference and video conference solutions; the latter in collaboration with Vidyo in the domain. Already recognized as a pioneer in the gains, Sify Cloud services are [administering] the conference of the industry. Our team has consistently been able to convert first time users of the cloud and scale up of our current user base. The S&P market remains impoverished. Sify has picked up some sizeable orders across the country with clients who are big and (inaudible) plans. This year we will add our datacenters; already the Noida datacenter is in operation and Rabale datacenter is getting ready. We have continuously invested in our capacity because of our conviction that the market is still in the early stages of the growth. The government’s aggressive automation plans are creating new growth opportunities for us either on our own or in collaboration with our partners. Now I would like to ask Kamal, our CEO to expand our business highlights of this year. Kamal?
Kamal Nath: Thank you, Raju. Over the past two quarters, we have launched Sify.O led (inaudible) market models, which has resulted in to significant increase in Sify leading the customer dialog or datacenter or DR services as the customers are looking for open space (inaudible) models. The business is driven by a traction around cloud services, be it private or public cloud. On the network services side our engagements are more around bundled telecom, plus network infrastructure plus managed solutions as the customers are increasingly realizing (inaudible) around managed services led telecom solution in our [fixed] models. Let me spend a few minutes on the individual business highlights of this year. We have added 1200 plus new customers comprising of a mix of private enterprise, public sector involvement. We are witnessing an increasing trend of customers preferring multi-technology project with us. Network/data services continued to be a big winner for us with the global (inaudible) year. Voice business has gone 27% and the carrier business is also grown by 22% over last year. Internet services to enterprises grew 15% and (inaudible) 40% over last year. Revenue for our hosting services, data business and DR hosting businesses has gone 19% over last financial year. This business has individually added 50 new customers in the last financial year. Our cloud business saw the maximum traction with a growth of more than 50% in revenue over last fiscal. Multiple variance of our DR Solutions have been delivered to more than 10 large enterprise customers in India. One of India’s leading healthcare service provider has entrusted Sify with complete services portfolio of [VPN] and [DR] services on a mix of private and public cloud model. Our EIS business has owned significant web application and e-procurement deals on local urban bodies and from the different departments of State of Maharashtra. Our Sify.com portal grew annually around 55%, helped largely by Sify Finance which is now among the top three finance portals in the category having a growth rate of almost 113%. Our focus in the coming quarters will remain on multi-technology integrated projects aimed towards gaining increased wallet share of our large people, existing customers [I described]. I will now hand over to you, Vijay. Vijay is our CFO to talk on the financial highlights of this year.
MP Vijay Kumar: Thank you, Kamal, and good morning, everyone. I will now provide detailed financial results for financial year 2012. Sify’s revenues for the year were at INR 8570 million as against previous year’s revenues of INR 7698 million, an increase of 11.3%. EBITDA for the year was INR 802 million as compared to INR 490 million last year, a growth of 63.6%. The net profit for financial year 2013 was INR 477 million as against a net loss of INR 385 million in financial year '11-'12. This net profit includes a one-time gain of INR 658 million from sale of stake in an associate company in early part of the year. Cash flow from operations was INR 603 million for the year as against INR 600 million last year. Cash balance at end of the quarter was INR 999 million. As our chairman rightly quoted, it has been a challenging year for many telecom and IT service companies in India, but our fixed adherence to tight fiscal discipline has ensured that we are comfortably within our business plan. Operating cash flow continues to be positive and gross margins have remained steady in spite of continuing pricing pressure in the market. As a result, our EBITDA continues to show positive momentum and support by fiscal restrained and growing business which is increasing our utilization of core business assets. We will continue to make necessary business investment, but our main focus will be to leverage our existing asset base and to add capacity as we fill our current facility. I will now hand you over to Raju for his final comments.
Raju Vegesna: Thank you, Vijay. Let me recap. Sify reengineering as a product and practice driven company is complete. There is a lot to be done this year. The coming year we will be investing in products and services that will deliver value at multiple price points for large enterprises and emerging enterprises and SMB clients. We are making steady progress in our financial results as you can see, and I'm confident that Sify is on the right path. When the anticipated turnover happens in the market, we will be well-positioned to ride the wave. Thank you for joining us in this call. I will now hand over to operator for questions.
Operator: (Operator Instructions) Okay. It seems there are no further questions at this time. I would like to turn the floor back over for closing comments.
Raju Vegesna: Thank you everyone for joining us on the call. We are looking forward to interacting with you throughout the financial year. Thank you, and good bye.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.